Operator: Ladies and gentlemen, welcome to the Delivery Hero Q1 2025 Trading Update Conference Call and Live Webcast. I am Yusuf, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and that this conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] This conference must not be recorded for publication or for broadcast. At this time, it's my pleasure to hand over to Christoph Bast, Head of Investor Relations. Please go ahead.
Christoph Bast: Hello, and welcome, everyone. Thank you very much for joining our Q1 2025 earnings call. Please note that this call is being webcast, and a replay will be accessible later today on our website. Joining me on this call today are Niklas Östberg, our CEO; and Marie-Anne Popp, our CFO at Delivery Hero. Together, they will present the key highlights of our Q1 2025 results and the full year 2024 performance. Following the presentation, we're delighted to address any questions you might have. Now over to you, Niklas.
Niklas Östberg: Thanks, Christoph, and hey, everyone. Thank you for tuning in. We have just finished one of our best quarters in the last three years. Outside of Korea, we achieved 22% GMV growth in constant currency on a like-for-like basis. This marks the fastest growth we have seen since the early days of COVID, and it's faster than all global peers. Over the last three years, we've focused on driving growth while enhancing profitability through smart, long-term efficiency initiatives. We had to make many tough calls during the last years ranging from closing down markets, shutting down the Dmarts, merging platforms and reducing staff. However, our largest most challenging efforts have been at automating every part of our business. While this transformation is still ongoing, I'm pleased to see both the GMV and revenue, maintaining their growth trajectories, while costs across the business remained flat or even declining. These efforts have resulted in an annualized EBITDA and cash flow improvements of nearly €2 billion compared to three years ago, and this is pro forma, including global. That being said, the journey has not been without its challenges. Over the last two years, we have faced several regulatory setbacks. I understand and I share the frustrations surrounding these issues, is often difficult to communicate clearly about various risk scenarios, binary outcomes while simultaneously engaging with key stakeholders to find the best resolutions. I want to assure you that we are taking all necessary steps to proactively identify, manage and resolve risks. We are confident that all known material risks are well documented and accounted for in our annual report. Additionally, we encountered performance challenges in our largest market, Korea, during 2023 and early 2024, while during 2024, while we have not yet fully recovered, we are seeing promising trends in areas such as acquisition growth, customer satisfaction, subscription growth and improvements in our own delivery operations. These indicators gives us confidence that we will return to growth in Korea during 2025. What is particularly encouraging is that despite the decline of our largest market, the challenges to our rider model in Spain, intense competition and a number of other challenges, we have delivered one of the strongest quarters in our history with robust top and bottom line growth. This demonstrates the strength of our business model and highlights the significant untapped TAM potential ahead of us. This gives us confidence that we can continue to deliver consistent improvements to both top and bottom lines quarter after quarter for many years to come, regardless of market conditions, competitive pressures or operational adjustments like the rider model sales. We remain optimistic that our sustained execution on both top and bottom line growth will, in time, also be reflected in our share price. So let's now move on to the financial highlights. Here, we achieved GMV growth of 8% in constant currency and 9% on a like-for-like basis. Taking a historic perspective, over the last 11 quarters, GMV growth in constant currency, excluding hyperinflation accounting, has consistently ranged between 6.7% to 9.3%. Adjusting for one fewer day in February and the earlier Ramadan, we would have exceeded 10% growth in Q1, making this the strongest quarter in 11 quarters. Total revenue also increased a lot by 22%. We also delivered a solid quarter in terms of EBITDA and remain on track to meet our guidance of €975 million to €1,025 million. Our growth continues to be robust in Saudi Arabia and Hong Kong and we have successfully returned the APAC region to growth. As we have already communicated in the past, cash generation and a strong balance sheet are of central importance to us alongside growth, leadership and investments in product and technology. Therefore, as previously announced, we repurchased convertible bonds totaling €896 million in the first quarter of this year. In addition to the anticipated organic cash flow generation we are targeting for this year, we also received an additional cap inflow of US$242 million in April. This was related to a negotiated termination fee as part of the Taiwan transaction. Moving from financial update to a more operational one. So we have made some great progress through our global tech stack. This slide shows only some of the many improvements over the last six months, picking a few highlights from the slide. First one, we have seen a drastic improvement in efficiency as we moved the full global tech platform to our global tech stack. Some of the largest improvements have been in search algos, vendor portal, ad revenue and logistic efficiency. We see the improvements as much in growth and customer experience as we do in cost. As you also know, WUBA is still 90% an independent platform, the only one who's not been rolled out on the global tech stack. But we have at least started to roll out our global logistics stack with some great early indications. This will still be a long process, but we believe we can significantly increase growth while generating cost and revenue improvements in the hundreds of millions per year once completed. If we move then to acquisitions on the slide here, we have made huge improvements in our global personalization and incentive stack helping to drive an incremental 16% acquisitions, resulting in the highest year-on-year growth in acquisitions since early 2021 when COVID was at its peak. This is the best lead indicator of future growth. Also here on the slide, we have a few LLM topics around customer service, content generation, et cetera. But let's go through the vendor side. And here, we can see on the vendor shows, we have been improving the algo for optimizing or optimization of our customer choice without increasing delivery times or fail rates. This has unlocked €400 million in incremental GMV and this is obviously a huge improvement. Moving maybe to the last one here. We picked picker app topic. Here, we see a €10 million improvement and it may look small with €10 million in total savings compared to the other initiatives, but improvements in our global picker app is not only a reduction in cost, but also an improvement in customer experience. So this was some highlights, there are plenty of more but keeping it short here. And today, the majority of these services are built out of Berlin, but going forward, we will increasingly leverage our regional tech hubs for improving our global tech stack. We expect incremental year savings will stay in the triple-digit million euro amount per year for many years to come. These savings will partially go to the bottom line and partially be passed on to our customers to improve the flywheel. Now let me hand over to Marie-Anne, who will take us through the financials.
Marie-Anne Popp: Thank you, Niklas, and a warm welcome also from my side. As previously mentioned, the year has started off strong with growth of 8% in constant currency, excluding for the effects of hyperinflation. Adjusting the numbers for the deconsolidation effect of operations closed or sold in 2024, GMV growth reached 9% on a like-for-like basis. Further adjustments to this year's calendar – due to this year's calendar effect and the earlier Ramadan would bring growth to over 10%. As Niklas mentioned, this is the highest growth since early 2022. Total segment revenue growth outpaced the GMV development, fueled by the continued rollout of own delivery, the expansion of our ad tech, increased revenue contributions from our Dmart business and strengthened monetization initiatives. In addition, we have made significant progress on profitability, highlighted by further increase in the adjusted EBITDA margin in Q1 2025 compared to the same quarter of the previous year. And this despite higher operating costs in Spain and rider provisions for Italy. Hence, the business is on track to meet the full year 2025 guidance. Now let's take a quick look at the revenue development on the next slide. Thanks to the drivers mentioned earlier, we recorded revenue growth of 25% to 45% outside of Asia. And despite the high comparable numbers in Korea, even the Asia segment recorded almost double-digit revenue growth. Let's now dive into the Europe segment. The strong order growth in our leading category positions led to GMV growth of 12% year-over-year in constant currency during the first quarter. This growth was achieved despite significant portfolio rationalization during 2024 with a number of country disposals and shutdowns in Denmark, Slovakia, Slovenia and Ghana. Looking on a like-for-like basis, the Europe segment grew 19% year-over-year, another quarter where we significantly outpaced our peers. Europe delivered solid performance across all brands with Glovo standing out due to its sustained strong top line growth. Revenue growth was even more impressive, rising by 25% year-over-year and 27% on a like-for-like basis. This accelerated revenue growth was partly driven by a continued focus on own delivery with the OD share increasing by an additional 10 percentage points year-over-year to reach 80% in Q1 2025. The further progress we made in AdTech in Europe resulted in non-commission revenue already reaching more than 4% of GMV in the top performing countries. Let’s now turn to our MENA segment. In the first quarter of 2025 we achieved strong GMV growth of 30% year-over-year, primarily driven by robust order development in an excellent category position across all countries. Saudi Arabia delivered outstanding performance, again achieving over 20% year-over-year order growth. This success was achieved despite the challenges of an earlier Ramadan this year and the implementation of previously announced Transport Authority guidelines for rider fleets. We sustained clear category leadership in the region through continued enhancements in customer experience, logistics quality, affordability in a very successful subscription offering already contributing to more than 50% of orders. Not only have the top line and product offering improved significantly, but profitability has also shown an encouraging development coming in slightly above plan. Regarding Talabat, there isn’t much to add at the moment. The business continues to perform exceptionally well with profitability on the rise and further details will be shared directly by the Talabat management when they release the quarterly results on May 12. The overall strong top line development, combined with a further increase in the EBITDA margin, has resulted in a significant rise in earnings in the MENA segment. Now onto the Asia segment. The GMV development in Q1 2025 was impacted by the high comparable numbers in South Korea. However, the team has already implemented a lot of game changes to the business in the fields of customer experience, logistics quality, subscriptions and operations during the last months. Just to give you some examples, we fully implemented the new user interface combining marketplace and owned delivery in one place. This improved the user experience and accelerated the switch to own delivery, which led to a significant increase of the own delivery share in Q1 2025. But we have not only increased our own delivery, we have also strengthened our logistics, which resulted in an improved operational performance. We have achieved this by almost doubling the size of our rider fleet since the beginning of last year, expanding the cooperation with third party logistics providers while reducing our cost per order. We have successfully rolled out our subscription program, now contributing more than 40% of the total order volume and already 87% of subscribers are paying customers. But we’ve also become more attractive in terms of affordability by increasing the share of vendor-funded deals. All this has already resulted in healthy growth of new customer acquisitions in Q1 and should lead to a stronger top line development in the coming quarters. We believe it is fair to say that the team has laid the foundation for growth during the last couple of quarters and we’re seeing positive signs. Shifting our focus away from Korea to another part of our Asia business, the APAC region. We have seen a tremendous improvement in business performance since we merged the Foodpanda, Yemek and Foodora teams. We now operate leaner, faster and more efficiently. Speaking of efficiency and focus, as announced yesterday, we have decided to close our Thailand operations. This decision follows a comprehensive analysis of the current market structure and projected business trends. While the business has been operating at breakeven over the past few quarters, we see far more promising opportunities to concentrate our efforts. Although Thailand generates a substantial order volume and contributes only a low single digit percentage to Foodpanda’s GMV. In Hong Kong, we’ve significantly strengthened the competitive edge in terms of selection, affordability, customer experience and quick commerce, which has resulted in a stabilization of our category position throughout H2 2024. As a result, year-over-year, GMV growth in Hong Kong has improved by more than 20 percentage points in the last two quarters. As announced several weeks ago, we successfully acquired selected assets from delivery in Hong Kong following their decision to exit the market. The onboarding of vendors and customers has proceeded smoothly and we anticipate some additional momentum from this. Now continuing with the Americas segment. Americas delivered another exceptionally strong quarter with GMV growth of 45% year-over-year. This performance was fueled by the macroeconomic recovery in Argentina and robust growth across other Latin American countries. While we anticipate continued strong growth in the Americas over the long-term, the exceptional Q1 growth is partially attributable to a softer comparison base in Q1 2024. In addition, we are working on further expanding the quick commerce business and rollout of our subscription programs throughout the region while AdTech revenues continue to accelerate with more untapped potential for future growth. Now onto Integrated Verticals. Top line momentum in our Integrated Verticals segment continues to be incredibly strong with GMV and revenue growing by 31% and 26% respectively. This should be seen in context of significant store and market closures mid-2024. Local shops, which are also part of our quick commerce business and reported in the platform business, were growing even stronger by 45% year-over-year and surpassed €1 billion GMV for the first time in Q1 2025. We are still only scratching the very surface of this opportunity and the TAM potential is immediate. The gross profit margin of the Integrated Verticals segment continues to strengthen on the back of higher store utilization, better supplier terms and the expansion of the AdTech business. Profitability has again significantly improved year-over-year and we’re on track to reach adjusted EBITDA break even in 2025 on a full year basis. As you know, building over 800 stores with tens of thousands of SKUs, highly automated fulfillment centers, warehouse tools, et cetera, is capital intensive and difficult. We’re therefore excited about the prospect of bringing this business to profitability in the near future. We also believe it adds a very strong USP to our customers. Let’s now have a closer look at the gross profit margin development on group level, which requires a bit more explanation this quarter. Looking at the red line it is evident that the gross profit margin is on a steady upward trajectory, progressing towards our target range of 10% to 13%, with MENA and Americas already falling within that range. In Q4 2024, the gross profit margin increased significantly compared to previous quarters. This improvement was driven by higher margins in Asia, primarily due to the introduction of our subscription program and the subsequent phasing out of free delivery for non-subscribers. In Q1 2025, the gross profit margin experienced a decline and this was partly due to general seasonality and more notably the new vendor commission rate in Korea. As you may recall, we initially raised our commission rate from 6.8% to 9.8%. Following discussions with the Cooperation Council, the entire food delivery sector agreed in November to transition to a tiered commission model that aims to ease the financial burden on smaller restaurants. This came into effect during Q1 2025. Additionally, we significantly increased the own delivery share in Korea and pushed subscription adoption. Looking ahead to Q2 2025, we anticipate a slight recovery in the gross profit margin in Asia despite significant scale up of own delivery. This improvement is expected to be driven by increased paid subscriber based, newly implemented logistics alongside additional optimizations in delivery costs. Europe has been affected by the legal provisions in Italy which we announced two weeks ago and which had been booked in Q4 2024. Furthermore, the transition to an employment based model in Spain will weigh on the GP margins during the next couple of quarters. Nevertheless, margins in Europe are expected to start recovering during the second half of 2025, driven by efficiency gains from improvements in the other rider fleet – in the own rider fleet. Let’s now have a look at our annual results for the financial year 2024. As announced Q4 results, GMV growth for 2024 amounted to 8% in constant currency and excluding the effects from hyperinflation accounting. Total segment revenue for 2024 exceeded expectations by achieving a 22% increase, surpassing our full year guidance which was set at the upper end of 18% to 21%. Our adjusted EBITDA showcased strong operational performance with an increase of approximately €440 million leading to a full year result of €693 million. This reflects the impact of the legal risk provisions for Glovo Italy announced last week. Free cash flow remained unaffected by these provisions. With an increase of €465 million, free cash flow for the full year turned positive for the first time in Delivery Hero’s history, reaching nearly €100 million in 2024. The next slide provides an overview of the transition from adjusted EBITDA to net income. Starting on the left side of the slide with the adjusted EBITDA of €693 million Euro, management adjustments totaling €512 million include expenses for services related to corporate transactions and financing measures in the amount of €81 million. These obviously include expenses related to the Talabat IPO. Furthermore, there are expenses for certain legal matters totaling €392 million. These include rider related provisions for Glovo Italy, which we announced two weeks ago and the increase of provision for antitrust risks which we already announced in July last year. Other expenses cover reorganization and other restructuring measures, like for example, the announced reorganization of Yemeksepeti, Foodora and Foodpanda, under one new Pandora leadership. In addition there are lease payments which in alignment with IFRS 16 are below adjusted EBITDA and then interest and taxes paid are self-explanatory. Then we have share based compensation of €171 million, which is considerably lower than last year. There are some goodwill impairments related to certain countries in the APAC segment, in the amount of €90 million and depreciation and amortization of €365 million. The rest sums up to a positive €197 million, which includes a derivative for the breakup fee related to the Taiwan deal, net fair value gains from public and private assets and FX gains, which are partially offset by amortization of financial liabilities in connection with the convertible bonds. Let’s review how this has evolved compared to last year on the next slide. As already mentioned, in 2024, the adjusted EBITDA has improved by €439 million compared to 2023. Management adjustments increased by €364 million. They now account for 1% of GMV. The three main items were antitrust, rider-related provisions and costs related to the Talabat IPO. Excluding these three extraordinary items, the management adjustments would have dropped further to only 0.2% of GMV. JBF compensation have declined further by 31% year-over-year to 0.4% of GMV and we expect this ratio to remain broadly stable in 2025. Without any meaningful impairments like in previous years, also other reconciliation items as well as depreciation and amortization have further declined as a percentage of GMV. The financial result improved as last year was affected by fair value losses of public and private investments, which did not recur this year. Since we’re generating higher taxable income in our profitable countries, taxes continue to increase in line with our expectations. Let us now have a look at our debt maturity profile on the next slide. Following the successful Talabat IPO and accounting for the tender offer in February this year when we bought back convertible bonds maturing in 2025, 2026 and 2027 in the amount of €896 million, the group had cash and cash equivalents on a pro forma basis of €2.9 billion at the end of December. At the same time, the amount of convertible bonds outstanding declined from €3.8 billion to €2.9 billion at a weighted average coupon of 2.1%, with the next larger maturity due only in 2027. Additionally, we continue having a €1.8 billion TAM loan denominated in Korean won and U.S. dollars outstanding and due in 2029. Earlier this month, we also upsized our revolving credit facility by another €190 million to now €790 million and extended the maturity from May 2027 to May 2028 to ensure further financial flexibility. With the Talabat IPO boosting our cash position by a comfortable €1.8 billion, we managed to reduce our net debt by around 55% to €1.9 billion by the end of December 2024. Consequently, the leverage ratio drops to 2.7 times net debt to adjusted EBITDA. Together with the aforementioned convertible bond buybacks in February and March and the substantial cash flow generation over the coming years, we are expecting further net debt reduction going forward. And the next slide provides a clear understanding of why we are so confident in this regard. As you can see, we have grown adjusted EBITDA by nearly €2 billion over the past three years, despite the low growth observed following the COVID-19 highs. Looking ahead, over the next three years, we anticipate stronger growth, which will facilitate driving profitability and cash generation. This positions us well to achieve our targets of a 5% to 8% adjusted EBITDA margin and 3% to 6% free cash flow as a percent of GMV by 2030. As already announced in February, we expect GMV growth of 8% to 10% on group level as well as revenue growth of 17% to 19% year-over-year, both growth rates are on constant currency inflation accounting. For adjusted EBITDA, we maintain our expectations within the range of €975 million to €1.025 billion. This guidance accounts for the provisions stemming from the Glovo Italy announcement made two weeks ago. We are also able to mitigate current FX headwinds with a weaker dollar in Korean won, but we monitor the FX situation actively as it has a direct impact on our EBITDA in euro currency. Free cash flow is expected to be more than €200 million for 2025. This guidance excludes extraordinary cash in and outflows such as M&A break fees and ongoing larger legal disputes. That’s it from my side. Thank you, and we now look forward to take your questions. Christoph?
Christoph Bast: Thank you very much, Marie-Anne. Before we start with the Q&A, the usual reminder from my side, I would kindly ask you to limit your questions to one per analyst because this way, we can ensure that every analyst has the opportunity to ask a question. That’s it. Thank you. Operator, please go ahead.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session. [Operator Instructions] The first question comes from Joseph Barnet-Lamb, UBS. Please go ahead.
Joseph Barnet-Lamb: Excellent. Thank you very much for taking my question. So starting with Asia and Korea, are you still expecting Asian profitability for the full year to be stable to slightly up? And then building off that, if so, you highlight “further initiatives” are in the pipeline to unlock growth in Korea. Is it fair to assume then that investment levels guided for the full year aren’t yet fully reflected in 1Q? So there’s investment forecast by consensus, the benefit of which is not yet being felt. Thank you.
Niklas Östberg: Hey Joe, so for Korea, yes, we remain in that view. Of course, when we look at euro currency then we have the fluctuation of FX movement and so on. But if you look at local currency, yes, we remain that we will be flat to slightly up in terms of profitability in Korea. Yes, there is a lot of work still to be done. The team has done a fantastic job so far. But yes, there’s a lot still to happen. The change we made, I would say, in the last nine months have been more a foundational basis, changing the business model and so on. So there’s more of the work and implementation of things we have done is still to come. There’s also been quite some team changes, and we are very happy with the new team and how they are executing. We are also now applying a couple of dozen smaller initiatives that were used in other markets successfully. So we expect will also still happen in Korea. Some of them implemented in Q1, more of them being implemented in Q2, Q3 and so far. We have already now seen that some of those input variables that we are optimizing the business for have also improved. And we’ve also seen that acquisition rate is now growing with 5% to 15% again. This is the highest year-on-year improvement since early 2021. So I think that is also an output metric that is very promising. And as you know, acquisition growth is a lead indicator for overall growth when acquiring the business will grow. So if this continues, you should be back to growth soon. But yes, having said that and repeating myself again, it will take a long time until shipped all the core product features to Korea and made our service world class, but growth should come sooner rather than later.
Joseph Barnet-Lamb: Excellent. Thanks very much.
Niklas Östberg: Thanks, Joe.
Operator: The next question comes from Marcus Diebel, JPMorgan. Please go ahead.
Marcus Diebel: Yes. Hi, everyone. My question is on the slide on the net results in full year 2024. Thank you very much for providing the bridge. Given your comments, shall we then assume that the management adjustments going into H1 should pretty much include only the increased provision for Italy, is that a fair assumption? And then secondly, related to this, you mentioned that you feel that in terms of provisions and also contingent liability, everything is sort of covered at this point. The claim from Just Eat for unfair competition, is that part of the provisions or part of the contingent liabilities would be great if you can just comment on this. It doesn’t look like this, but if you could comment. Thank you.
Marie-Anne Popp: Sure. I’ll take the first part first, to the management adjustments. Yes. I mean I think, obviously, we would expect them to go down. I think there’s probably a certain base level of management adjustments, in particular, related to restructuring and maybe to financing costs that you would inherently have as we constantly optimize the business and as we also improve our financing structure, right? So these, I’d say, smaller and baseline amounts, you will probably continue to see going forward, right? And for the, let’s say, larger or lumpier amounts related to legal matters, we will indeed continue to book some provisions for Italy, right? But you’ve probably also seen news at the Italy, there’s been news in Italy about the business model or the potential for self-employment and the rules around that being clarified last week. So we need to assess what that means basically for provisions in Italy going forward and how we will treat the risk there from an accounting point of view. And that will basically also influence the level of adjustments you see. But I think overall, the aim is obviously to get the management adjustments to be as small and as baseline as possible, I would say.
Niklas Östberg: You’ll cover Just Eat as well?
Marie-Anne Popp: Just Eat, yes, that’s not reflected in the contingencies of provisions due to the legal assessment we have related to that case, which…
Marcus Diebel: Okay.
Marie-Anne Popp: Yes.
Marcus Diebel: Yes. Thank you. Very clear, thank you.
Operator: The next question comes from Luke Holbrook, Morgan Stanley. Please go ahead.
Luke Holbrook: Yes. Hey everyone, thank you for taking my question. And my question is on Saudi Arabia. It looks like your orders grew over 20% year-on-year despite Kita investing quite aggressively on the ground. Can you just be a bit more specific on what’s allowing you to grow orders at that rate? Is it new customers coming to the platform existing ones improving frequency? Or you’re pushing a grocery adoption more? Just any other color would be very helpful just as a playbook for what could happen across the rest of the GCC too. Thank you.
Niklas Östberg: Thanks, Luke. I would say all the above that you mentioned there. But I think overall, the team is doing a fantastic or a superior service. That is really the focus that we’re having. And we see this across every aspect of our offering that we are clearly better than all providers in everything, except maybe the affordability, we do not give more larger value than food value. So with that exception, but everything else, we think that we have a superior offering. This also means that we have not lost any high or medium value customers or less than 1% of our high and medium value customers have been lost. The customer segment with no or negative value has seen a few percent deterioration. So let's say, order of magnitude 5% or so. But we are not too focused on that, given that we have tried to make them profitable. These customers have failed if someone else can receive it and good for them. But this also means that growth and profitability is holding up very well. Going forward, we will continue to invest in our service offering. So yes. And that means all of the above. That is a multi-vertical offering, better grocery offering, keep evolving it there and keep making sure that we have the most usable app, the best delivery experience and all of that. So – and I think we will.
Luke Holbrook: Understood. Thank you.
Operator: The next question comes from Giles Thorne from Jefferies. Please go ahead.
Giles Thorne: Thank you. It was a question on APAC. With the exit from Thailand, it would be good to get an update on your plans from here for the remaining markets where you compete with Grab. And specifically, should we expect, as we've seen the similar situation, not least Saudi Arabia, that you'll drive a consumer experience side back in those markets? Or will it be something else? And if we think about something else, maybe, Niklas, an update on your latest thoughts on the merits of putting food delivery and ride hailing together in those markets given that so many of the problems have been caused by that type of super proposition. Thank you.
Niklas Östberg: Sure. So yes, if you look at APAC, only a few countries actually are overlapping with Grab. So many of them are not developing, but for the ones that are overlapping, with Grab and we see good development overall in APAC, as I said, we are growing the business now, and we are increasing profitability. So we'll continue to do that. We'll continue to grow the business now, and we will increase profitability. We have a slightly different focus maybe there. We try to be even more differentiated. We also think that we have areas where we are clear leader in there and within a country, you have different segments and different areas where we are a leader, and there are certain areas and cities where Grab are leaders. But yes, we will continue to optimize and focus on what we do. We can drill control what Grab is doing. So yes, the focus is used to build a very good service and I think over the last nine months, I think we have done a decent job. I think the changes in setup that we did has been tremendously positive, so I think right now, we have seen a huge uplift in growth over the last six to nine months, not only in Hong Kong but in the rest of APAC. So yes, we'll focus on that, making sure that we keep on growing and keep delivering good profitability. In terms of ride hailing, our view is not that we don't – we think there are benefits of it. There will be one subscription program, and there will be overlap things we can reduce your marketing costs in once. There are clearly certain benefits but we also see that there are downsides of having a ride hailing food delivery app combined. I think we have seen that in many markets where we have been competing against Careem and others. I think there's also been proven in many other countries that is not necessarily beneficial to have both ride hailing and food in one app. It distracts the consumer experience, it distracts the focus, it – yes, it changed as your top of mind. You are no longer known for being the best food up, but you know for being a little bit of everything. So we think there's a both pros and cons to it. I think on balance, we think that there is tire to be a little bit more focused, especially as we expand our service offering to be on food to include many other verticals as well. So that's our focus and what we believe in and others can believe in something else. I think it doesn't make a big difference. The big difference is why we didn't execute over the last or let's say, in 2022, 2023. I think we had to pull back a lot of bases in spending as the market turned. And we didn't have a sustainable business as we thought. So I think a lot of learnings there. I mentioned some in Thailand, where we grew incredibly fast. And we grew faster than what you see Metron [ph] doing internationally. We do in Thailand, accepted that drug to 390,000 orders per day from 3,000 to 390,000 per day in only 11 months. So it's faster than what you've seen anyone grow. And you see what happened that the day we had to shut it down because we didn't build sustainable value in that business. We've ruined our brand and our customers. So, yes. So that was rather the problem that had in APAC. We have very little to do with Grab. It was all on us, poor execution and nothing we've done our learnings. And I think right now, we're getting pieces together, and we will keep building on that, and I'm pretty comfortable that we will continue to grow both top line and bottom line in the APAC region, regardless of Grab.
Giles Thorne: Thank you. And just a follow-up on that. It's been a couple of years since you announced the partnership with Tata in ride hailing in I think it was Singapore and Cambodia maybe. But any comments or anything to call out from that commercial tie-up that you've had with the ride hailing business?
Niklas Östberg: Yes, we are – yes. And we still remain of the view that you want to be focused and so on versus we see that there are certain benefits on the marketing side and subscription side. And you will expect that we might do more of those partnerships to become – to leverage that aspect while still staying very focused on what we are good at, which is on delivery, food and groceries and other things. But yes, you may see more of those tie-ups going forward.
Giles Thorne: Understood. Thank you.
Niklas Östberg: Thanks.
Operator: The next question comes from Christopher Johnen, HSBC. Please go ahead.
Christopher Johnen: Yes, thanks for also taking my question. Mine is, Niklas, picking a brain on the impact of AI agents on your business. I'm sure you've seeing the DoorDash together with OpenEye was sort of a launch partner on their operator product? And there have been questions what kind of impact AI might have or specifically AI agents, might have on the delivery companies ad business, whether it's risk of disintermediation altogether for parts of the business. I'm just curious, have you done any internal work on that? Any views you can share at this point? Thank you.
Niklas Östberg: Yes. We are testing and looking and observing maybe before going into the AI agent and more the user front, the whole AI topic is left, right and center in what we are doing. So there is no part of our business that is not focused on it. I mentioned a few of those examples in all content generation, the customer service, sales and so on, where we specifically work on clear solutions. If you look at the – more on the user side and agent in total. Yes, there is a case for it. I think the hard part is not to build an agent. The hard part is to change customer behavior. And the second is why would you go to an agent when you basically have that agent in our app. And we can improve our app to make it even easier, better, more better images, better, call it, better experience and also a lot of the backbones that we sit on knowing exactly where the riders are at the exact right point in time, feedback on the restaurants and so on. So I think agents can do so much as what they can see in our app and other people's app. but will not be able to see a lot of other proprietary data that we sit on in our apps unless we enable that. I'm not so afraid of this intimation point. And also you can click on ChatGPT and try to order food there via agent or voice, if you prefer, or you can click on your food delivery app and doing exactly that, except that we will be 100% focused only on that. And a good part with food and difference probably to travel and other things is that you make up your mind while you're on it. You might not even know what you want before you start ordering. You might want to look at the images, you might want to see, you want to play around, you want to go to another restaurant. You want to see if there is a special promotion. So while on a trip, you want to go from New York to Los Angles, prices, what really matters, price and time may be airline. So it's a little bit easier. So from that point of view, I think it's rather us working with them to improve our service, making it effectively implementing the agent in our app to help people getting what they want. But I think I would say 90% something, probably 99% of our AI work is rather in other areas than in this area so far, but that could change if you see something promising.
Christopher Johnen: Understood. Thank you.
Operator: The next question comes from Annick Maas, Bernstein. Please go ahead.
Annick Maas: Hi. So if you take a step back, you've actually delivered quite well on your ambitions over the last years, but you always have these unexpected things that keep on setting you back, how can you give reassurance to investors today that this won't happen again or that you will be able to manage it in a bit other way, I guess, than you have in the past? Thank you.
Niklas Östberg: Yes. Thank you very much. Look, it's painful and frustrating not the least to us. It's – of course, we operate in a space where there are certain risks, unfortunately, and in particular, when it comes to potential reclassification because the amounts are large. It will happen to only us when it comes to Spain. That's the main market we're speaking of. It will also happen to Uber. But yes, unfortunately, we are much larger. So of course, implication of that is much larger for us, but it's not only us that it touches, same with Italy, the case back from 2016 to 2020 that we mentioned, that we lost also Uber and also Deliveroo lost their cases. So we are not the only one losing cases there. We took the conserved approach on assuming that not only will we lose from 2016 to 2020, but was going to lose from 2020 to today. I don't know how others are approaching that, but we took the more what we think is a prudent approach. Now the good news when it comes to Italy, which is the second market where we had those risks is the circular that came out on Friday last week that actually clarifies that you can operate a freelance model. That was a very positive news for us. We are analyzing, we are studying it to making sure that we're also implementing our business according to every standard that is set out to be freelance and yes, I think that's very helpful that we get that clarity. Unfortunately, other countries have a lot of ambiguity or other countries being Spain, I guess, where it's not very clear or we think is clear but someone else also thinks that's clear. So there's a clear disagreement there. I think in other markets; we have been a little bit more on the conservative side. So if we look at Sweden, we have employment model versus DoorDash is operating freelance model. Norway, we operate with employment and freelance, while our competitor there also DoorDash operate with employment models. Again, we have been more conservative in our assessment, but yes, we monitor very closely. We have learned the lesson, and we have taken a lot of legal advice to making sure they operate very compliantly in every market. we don't see any larger risks at this point in time. If you think about the other cases, they are known for years and years. There is nothing material, I should say, that we know of what that could turn out to be material at this point in time. But yes, that's what I can say. I think we're stepping up our efforts and we're doing well, our best to make sure that we highlight and appropriately put them in towards our annual books to make sure that there should be no surprises.
Annick Maas: Got it. Thank you.
Operator: The next question comes from Jurgen Kolb, Kepler Cheuvreux. Please go ahead.
Jurgen Kolb: Yes. Thank you very much. On South Korea, again, maybe, could you please help us a little bit how you expect the phasing of the return growth will be over the remaining quarters in 2025? And also maybe with a quick word on the earnings size, specifically on gross margin on Page 12, I think you highlighted the trends in Asia saying that the gross profit margin obviously was affected by seasonality in Korea. Is that expected to be expected that this is – that there will be a short rebound in Q2? Or is that more of a gradual growth going forward specifically on the gross margin, on the one hand side, but then also on the top line growth in South Korea? Thank you very much.
Niklas Östberg: Yes. We try to avoid setting quarterly expectations on the progress towards growth. We are confident that we'll reach growth during this year. But the shaping on that we like to avoid setting expectations there because in a quarter, there are still events that can impact you plus/minus 1%, 2% that are unknown. The business is, of course, very predictable, but we can't predict everything. But I think – I don't know, we would probably say that Q2 would, it's a little bit easier. Q3 may be a little bit harder and Q4 is clearly easier, as in Q4, we went from free delivery to everyone to being free delivery for only paid subscribers. And so therefore, Q4 should be easier comp. So that will give you some indications. Then when it comes to gross profit margin. Yes, you have some seasonality. Usually, Q1 and Q3 are a little bit harder to manage because of snow and kind of the rain season in Q3, so that's a little bit harder for your gross profit in those months. Then, of course, we're scaling up on delivery, that is currently margin – decreasing the average margin for us as we do that. We have still a higher margin on the marketplace than we have on our own delivery. But we are also making huge improvements in our margins here. And if you look at the last 12 months, it's – the improvements are very, very large, very significant, and that is why we can also now move to free delivery and expand our own delivery without killing our business basically, that was not possible 12 months ago, and that is possible now. So that's also part of what I mean when we built the foundation actually scaling the business now is that now we can really push our own delivery, and you will see that and the customer experience around that. But yes, as I said, they are not yet the same margin deliveries. That's why that is dampening the gross profit. At the same time, improving the gross profit on deliveries over time, that you will see an upward kind of effect and a tailwind on that too. So there are those two aspects to keep in mind. So you will see a clear up over time, but in between quarters, you just have to keep in mind, there are different aspects playing here on. And then you yes...
Jurgen Kolb: Sorry, go ahead. Sorry.
Niklas Östberg: Did that answer your question? Whatever you want to say. We are very open here.
Jurgen Kolb: Thank you.
Operator: The next question comes from Roman Reshetnev from Goldman Sachs. Please go ahead.
Roman Reshetnev: Yes. Hello. Thank you for the call. Let's take a good question. You mentioned Q1 GMV growth would be above 10%, adjusting for calendar effect. Is that the pace of growth you are seeing currently in April and do you expect any calendar effects in Q2? And separately, just a more clarification. Could you please share the estimated GMV revenue and EBITDA impact of the market you recently closed on your FY 2025 numbers? Thank you.
Niklas Östberg: Right. So yes. So we had one day less. That calendar effect, we will not have again and will not just return, but that makes them 1%, basically and the Ramadan effect is let's say, 0.5% on a group basis, a little bit more on the MENA segment. But if you look in the group between 0.5% and 1% negative effect in Q1 from that, that will be a positive effect in Q2. So correct that if you take like 1.5% up in Q1 based on the day in Ramadan, you move from 9% to 10%, yes, between 10% and 11%. So that was – that's why I meant this was by far the best quarter we've had in three years or so. Q2, we don't really comment on I know the current trading and moving forward. But yes, you should expect that we set a very high bar and standard for ourselves. And we – yes, we will push very hard to make sure that we deliver a good quarter. And as I said, we have a little bit. We have a, let's say, a 0.5% positive impact from Ramadan at least as I said, it's hard to commit to grow much faster than 22% asset of Korea. As I said, there is faster growth than every other company that we know of in the food delivery space or at least public. So that is already a high bar, I would say, to keep that growth up at that level. But again, we put high bars on ourselves. Then of course, we have 1 market out of our 65 that is not growing. If we can get that business back to growth, of course, that will be very helpful for our overall growth development. But yes. But overall, we do not give guidance on current trading and expectation for Q2.
Marie-Anne Popp: And maybe just jumping in. I think the second part of the question was around the market. We have just announced the close for Thailand. So the impact is very, very small. It's less than 1% of GMV. So it doesn't affect whatever we said we would achieve this year.
Operator: The next and last question for today's call comes from Monique Pollard, Citi. Please go ahead.
Monique Pollard: Hi. Afternoon. Thank you for taking my question. I just had a clarification question on Saudi. So the growth in the fourth quarter was about 30% order growth, are you still achieving over 20% order growth in the first quarter. And I guess that's with the 10 extra days of Ramadan. So, Niklas, I understand your answer to the question before, you said the Ramadan impact on a group basis is 0.5 percentage point. So should we think the impact of Ramadan across MENA was 2 percentage point drag on growth? I'm just trying to understand sort of how much the Saudi order growth could reaccelerate as we go into the second quarter.
Niklas Östberg: Got it. Yes, Ramadan effect on Saudi 2% to 3%. So that will be then a positive effect for Q2, was negative in Q1. We said that we're exceeding 20% of this and that we were – I think we were a little bit higher in Q4. If I would still make a slight bridge there is, of course, we are super happy with that growth. So – and the team is doing very well. One thing that we did in Q4 that we didn't do in Q1 is that we really promoted our meal for one very aggressively also at negative economics. We pulled back a little bit on those offerings to make it more sustainable and actually make a gross profit out of those meal for one orders or at least breakeven, I would say. And that also has a couple of percent impact. So if you add that a couple of percent, you are basically the same growth in Q1 as you had in Q4.
Monique Pollard: Okay. Thank you.
Operator: Ladies and gentlemen, that concludes our Q&A session. I would now like to turn the conference back over to CEO, Niklas Östberg for any closing remarks.
Niklas Östberg: Not much for me. And thanks a lot for your support. We are very grateful for it. And yes, I – we remain very, very focused on delivering good results. As I said in my opening remarks, I do believe if we keep on growing and delivering on both top and bottom line, keep our costs very tight and keep growing, I think we have a very positive future. And eventually, I would hope that we get what – yes, that will also be reflected in our share price. So thanks for your support. And for all the Delivery Hero people listening in, it's a tremendous quarter. Thank you so much for working so hard and let's make sure that we deliver a very good second quarter as well. Thanks, everyone.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.